Stephan Engels: Good morning, ladies and gentlemen, welcome to Commerzbank’s Conference call for the Preliminary and Unaudited figures of the Fourth Quarter and the Full Year 2014. Before we look into our financial results I would like to spend a few minutes on the strategic development since our Investors Day 2012 as we are half way towards 2016. As you can see on page two, we have made significant progress in the execution of our strategy. Let me highlight a few achievements. In Private Customers we have conducted intensive market and customer research and developed new products and services such as our premium and managed securities accounts. We have gained more than 530,000 net new customers in PC and another almost 560,000 in Central Eastern Europe. In Mittelstandsbank we have increased our lending to German customers 15 percentage points above market since December 2012. In CEE mBank has with its One Bank strategy and its high level of innovation consistently shown a strong performance over the last two years and the diversified business model of Corporates & Markets with a strong connectivity to our Mittelstandsbank performs well. Revenues have been increased by 23% compared to 2012. These achievements come along with an economic environment that has generated significant headwind since 2012, as you can see on page three, lower than expected GDP growth, lower and flattened interest rates curves and also an increase in regulatory requirements have put pressure on the banking system and also on Commerzbank, in particular the development of the interest rate has a significant impact on our business. Over the last two years the 10 year Bund yields have declined from 1.3% to 0.5% weighing on our results as you can read from the slide showing some key effects. Nevertheless we have made substantial efforts to mitigate those headwinds and this leads me to our results for 2014 as summarized on page four. On Group level our operating result has significantly improved by 40% to EUR1 billion and our net result has increased from EUR81 million in 2013 to EUR602 million in 2014. Under German GAAP the preliminary net result for Commerzbank AG amounts to EUR282 million after EUR166 million in 2013. Despite the low interest rate environment we have reached stable revenues of EUR8.9 billion and a stable operating result of EUR1.8 billion in the Core Bank. This shows that our strategy pays off. Let me highlight that we have increased our loan volume significantly and above market. In our Corporate Bank MSB loan volumes have grown by 8% and in PC loan volumes have grown by 3%. In a market with much lower growth rates this means that we are consistently gaining market share in our core businesses. In our non-core asset division we have further run down the portfolio by EUR32 billion in 2014. This translates into a remarkable 47% reduction since the Investors Day 2012 where we introduced the run-down program. NCA-LLPs have come down by 40% and coverage ratios have improved. Please note that especially that our coverage ratio in ship finance excluding collateral has increased to 53% at year-end 2014. Loan loss provisions of EUR1.14 billion in 2014 have been better than expected after EUR1.75 billion in 2013. This reflects the value of preserving the run-down and NCA and also proves the quality of our loan book in the Core Bank. We have achieved our cost target 2014. Expenses amount to EUR6.9 billion ongoing efficiency gains have compensated for strategic investments and increased regulatory requirements. The comprehensive assessment of the EBA and the ECB has confirmed the stability and stress resilience of Commerzbank. We have comfortably passed the exercise with 8% Core Tier 1 ratio under phased in and almost 7% under fully phased in, in the adverse stress scenario. Furthermore we are also fully compliant with the recent capital requirements of the ECB. In 2014 we have organically strengthened our capital by EUR0.9 billion. Thus our Core Tier 1 capital ratio under Basel III fully phased in has substantially improved by 50 basis points to 9.5%. Pages five and six summarize the key financial figures of 2014. Let me highlight that in addition to the already mentioned figures our leverage ratio fully phased in has increased to 3.7% and reflects already the revised CRD 4/CRR rules. With regard to the preliminary financial results of the Group let’s directly turn to page seven. Our Group operating result has increased to EUR1 billion due to improved loan loss provisions but also revenues show a good underlying development as you can derive from the composition. Adjusting for EUR177 million from our NCA division due to the portfolio run downs and EUR222 million from legal provisions our underlying revenues have substantially improved based on our strategic initiatives. The EUR222 million are the additional burden of legal provisions in the Group compared to 2013. In 2014 we have had net additions of EUR484 million. This of course includes additional provision for U.S. investigations regarding possible breaches of U.S. sanctions and any money laundering compliance reflecting our best knowledge as per year end 2014. In the last couple of days discussions with the U.S. authorities have further intensified. Based on these discussions there is a high probability that this might lead to a further increase in legal provisions, which we are going to reflect in the final financial statement for 2014. As you can see on page eight we have achieved our original cost target for 2014 to stay below EUR7 billion. High cost discipline and efficiency gains have largely compensated for strategic investments, collectively agreed salary increases and costs due to increased regulatory requirement and related projects. Loan loss provisions in 2014 as outlined on page nine have been better than expected. In the Core Bank LLPs have been reduced by 26% benefiting from the robust German economy and the high quality of our loan book. The LLP reduction of 40% in NCA has been driven by the shrinking commercial real estate portfolio. Thus all-in-all our LLPs in the Group has been significantly lower by 35% compared to 2013. Now let’s have a closer look at the development of our capital ratio on page 10. We have increased our common equity Tier 1 ratio fully phased in to 9.5 after 9.0 in 2013 and now our phased-in ratio amounts to 11.8 at the year-end 2014. Both ratios went comfortably above recent ECB requirements reflecting the profile of our customer oriented business model. Risk weighted assets have slightly decreased in the course of 2014. The value preserving asset run down in NCA has led to an RWA decrease of around EUR17 billion while the business growth in the Core Bank has led to an RWA increase of around EUR17 billion. Hence the increase of our Core Tier 1 ratio fully phased in is predominantly based on the build-up of EUR0.9 billion regulatory capital in 2014. EUR0.6 billion ratios stem from our net profit, EUR0.3 billion has been subject amongst others to mark-to-market valuation of capital items. Compared to Q3 we have seen a slight drop in our fully phased in ratio of 0.1% due to the variation effect on capital items. Regarding our leverage ratio as shown on page 11 we have made significant progress. On the fully phased in applying the revised CRD 4/CRR rules the leverage ratio has improved to 3.7%. Though this is partially driven by typical year-end reductions in the balance sheet which is expected to raise again in the line with ordinary business activities in the upcoming quarters, it nevertheless proves our ability to actively manage our leverage exposure. Now on page 12 we have summarized the performance of our Core Bank divisions in 2014. In PC we clearly harvest the rewards of our strategy. Strict customer orientations and convincing offerings pay off. Revenues have increased by 2% and we have almost doubled our operating result from EUR242 million to EUR420 million in 2014. In MSB the operating result has increased by 10% to EUR1.2 billion. The revenue structure of MSB has significantly improved with additional recurring business in the core of the German Mittelstand we have been able to substitute one off gains that accounted for almost 5% of total revenues in 2013. CEE showed significant growth in volumes and revenues and mBank has reported a record result 2014 last week. Furthermore mBank has entered into long-term partnerships with AXA for the distribution of insurance product and with Orange Polska for a joint mobile banking service that has already resulted in the acquisition of more than 40,000 customers. Also Corporates & Markets has maintained its solid performance. The reported decline in revenues of EUR108 million is almost completely caused by a negative swing in OCF and net CVA/DVA of EUR83 million. The impact of higher capital requirements under Basel III of negative interest rates and low volatility in foreign exchange market has been largely compensated by gains of international market share and our diversified business model. A record year in equity market and commodities and a solid performance in corporate and finance have compensated for the general market under performance of fixed income and currencies in 2014. In others and consolidation we have seen weaker results than in 2013 but we have had a solid treasury result within a challenging market, increased regulatory cost e.g. for the comprehensive assessment and the already mentioned additional provision for legal cases have burdened the result. On page 13 you can see the quarterly development of the Core Bank. The sound increase in net commission income in PC and MSB of EUR34 million could not compensate for negative valuation effect in addition to legal provisions. The revenue decline of EUR235 million predominantly stems from a negative swing in OCS and net CVA/DVA of EUR46 million and an increase in provision for legal cases of EUR198 million. This includes EUR35 million in Private Customers division mainly due to net legal provisions, especially for loan processing fees in accordance with the ruling of the German Federal Court of Justice. The remainder predominantly shows up in others and consolidation which report a Q4 result of minus EUR249 million after EUR141 million in Q3 2014. Despite these burdens the operating return on equity in the Core Bank stands at 9.2 for the fiscal year 2014, the net ROE stands at 7.3. In Private Customers as you can see on page 14 and 15 the growth story continues as a slight drop in revenues completely due to a net increase in legal provisions. The stable net interest income benefits from active margin management on deposits and our ongoing success in mortgages. Our loan volume has increased by EUR1.3 billion quarter-over-quarter, and EUR3 billion year-over-year. On net commission income we have achieved higher returns from the securities business, especially in the recurring revenue streams from volume-based fee models. The assets in premium managed accounts has increased by 50% year-over-year. Thus at the end of 2014 these assets represent 37% of all our customer security assets. The drop in revenues of EUR32 million stems completely from an additional net legal provisions of EUR35 million. The gross amount for provisions for loan processing fees in accordance with the ruling of the German Federal Court of justice amount to EUR75 million in Q4. Please note that we have already ceased to take such fees in 2012 when we introduced our new customer focus strategy. With additional 73,000 net new customers in Q4 we have achieved a growth in our customer base of 288,000 in 2014 and 532,000 since 2013 well on track towards our target of 1 million net new customers by the end of 2016. In Mittelstandsbank as shown on slides 16 and 17 we have seen further loan growth and stable revenues in Q4 while LLPs have increased as expected but remain at a moderate level. Revenues in Q4 have been overall at a stable level. Good net commission income especially from capital market product such as foreign exchange hedges for our customers but also from the guarantee business have largely compensated for a negative effect from the low interest rate environment. Again loan volumes have increased in Q4 leading to significant growth of 8% compared to 2013. Even more our lending in Germany has also increased by 7.5% year-over-year while the market virtually stagnated at minus 1.4% according to the latest Bundesbank statistics. In Central and Eastern Europe, as you see on page 18 the fourth quarter shows most development of operating result, reflecting the record result of mBank in 2014. Deposit and loan volumes have further grown in Q4 due to the strategic initiatives of mBank leading to an improved loan to deposit ratio of 103% after 111% in 2013. Also the customer base has grown significantly. In 2014 mBank has increased its customer base by 320,000 customers, including 41,000 from the successfully started mobile banking corporation with Orange Polska. Revenues dropped slightly in Q4 due to the rate cut of the National Polish Bank which weighs on our interest income. On slides 19 and 20 we have provided you with the details of the quarterly development of Corporates & Markets. The successfully managed resolution of legacy claims in credit portfolio management or CPM have compensated for the usual seasonal Q4 decline in Corporates & Markets maintaining revenues at Q3 level. Corporate finance and equity markets and commodities have come in slightly weaker in Q4 due to year end seasonality. In corporate finance ECM and DCM have shown an overall stable development quarter-over-quarter while income from deposits remained under pressure due to the low interest rate environment. In fixed income and currencies the overall revenue level is still burdened by the low interest rate environment, while in Q4 we have seen improved performance in foreign exchange thanks to increased market volatility. On page 21 we have summarized the development of the risk profile in the Core Bank. Year-over-year LLPs have been lower in almost all business segments and in Corporates & Markets we have again has substantial releases. Also our default portfolio has been reduced by EUR0.4 billion year-over-year while at the same time our exposure at default have increased by EUR32 billion leading to a reduced non-performing loan ratio of 1% to 6% with an increased coverage ratio. Now let’s have a look at the rundown of our non-core asset division in 2014 as outlined on page 22. In 2014 we have had a further decline of 28% and almost half of our exposure at default since our Investors Day 2012. In commercial real estate the strong decrease of 44% was supported by our EUR5.1 billion capital accretive portfolio sale in Spain, Portugal and Japan. Thus the higher risk cluster of defaulting [ph] loans has been almost completely removed and stands at EUR0.6 billion by the end of 2014. Though we do not expect such large deals going forward we aim to run down our portfolio to EUR11 billion by the end of 2016. In ship finance we have actively reduced our portfolio by EUR3.5 billion. As we had to record for an exchange effect of EUR1.2 billion our net reduction amounts to EUR2.3 billion or 14% respectively. Based on further active client management we are heading towards our target of EUR9 billion by the end of 2016. In public finance as you will recall we pursue a healthy maturity strategy taking advantage from pull to par effect. In addition we reviewed our options for opportunistic sales and internal transfers of mainly liquid assets to our treasury department. In 2014 we have transferred EUR12.5 billion for liquidity steering to Group treasury. As shown on page 23 the operating result of NCA has improved in Q4 mainly due to lower loan loss provisions. Hence the cumulated loss for the years 2013 and ‘14 in NCA amounts to EUR1.86 billion in-line with our guidance of EUR3 billion until 2016. In Q4 we have also managed a further asset reduction of EUR4 billion without any material sales transactions. Due to the fast run down in NCA we have booked EUR61 million restructuring charges in Q4. This will allow for substantial adjustments in our operating model, i.e. accelerate the operational run down of our subsidiary, Hypothekenbank Frankfurt, the former Eurohypo. On page 24 you can see the development of the risk profile of our NCA division. The LLP reduction quarter-over-quarter and also year-over-year is driven by the commercial real estate portfolio. In 2014 we have had LLPs in commercial real estate of EUR73 million, including releases of EUR112 million from our portfolio sales after EUR490 million in 2013. This reflects very well the substantial asset run down in commercial real estate and the remaining asset quality. In ship finance LLPs of EUR588 million for the full year 2014 include EUR39 million due to GLLP validations in Q4. Hence total LLPs remained only slightly below the 2013 figure of EUR596 million. Let me highlight again that we have increased our coverage ratio excluding collateral from 41% in 2013 to 53% at year-end 2014. In the container segment we have even increased our coverage ratio from 43% to 59%. Please note that in Q4 we have made again good progress in running down our shipping portfolio. The additional run down of EUR1.2 billion was partially offset by the strength U.S. dollar but is still leading to a good net reduction of EUR0.9 billion. To complete the view in NCA please turn to page 25. We have made significant progress in the run-down of the focus risk clusters. Since Q3 2012 when we introduced the run-down program we have reduced our exposure at default by 61% or EUR25.5 billion, to a remaining exposure of EUR16.4 billion, a much higher reduction than expected. Let’s turn to page 26, even though we face uncertainties from the macro economics, the geopolitical and the regulatory environment I nevertheless would like to give you some guidance on our expectations for 2015. First despite the challenging environment we aim to grow revenues and market share in the Core Bank. Second we aim to maintain our cost base stable at around EUR7 billion with ongoing efficiency measures compensating for expenses stemming from strategic investments, regulatory requirements and the European bank levies. And third we expect loan loss provisions for the group to remain at the level of 2014 with lower LLPs and NCA due to the asset run down. I would like to finalize my presentation on page 27 with a look at our targets we have set for 2016. First we strive to meet our target for the Core Bank to reach a post-tax ROE above 10% and the cost income ratio of about 16% though the economic environment has generated significant headwind. Second we maintain our target to reach a Basel III Core Tier 1 fully phased in above 10%. However we do not expect linear development. Third we confirm our EaD target for the NCA run down of about EUR20 billion for commercial real estate and ship finance. Fourth, we have target for the leverage ratio fully phased in of around 4% by the end of 2016. Ladies and gentlemen, thank you for your attention. I am now looking forward to your questions.
Operator: [Operator Instructions]. The first question comes from Johannes Thormann, HSBC. Please go ahead with your question.
Johannes Thormann: Good morning, everybody. Three questions from my side. First of all could you explain what is driving the volatility of the loan loss provisions in Mittelstandsbank because we haven't seen any major default in Germany? Is this the international part of the book, or what is driving this? Secondly, could you update us on all legal cases you still have pending, as looking at the 2013 Annual Report is probably a bit too far looking back? And last but not least as you reiterated your 10% ROE target for the Core Bank where do you see the drivers for improvement versus the current 7%? Thank you.
Stephan Engels: Yes, thank you for the questions. First question on LLPs in Mittelstandsbank, what we have seen in Q4 is the typical effect. But Q4 tends to be rather five months long than the normal three months, because you have preliminary results basically until March and in that sense the underlying performance in the segment on LLPs is stable, Keeping in mind that Q3 as said at the time was rather low. On legal cases we have given you the numbers. There is no additional big case other than the ones that we all know of. We have - I have touched on the German BKR [ph] ruling which as we said has a EUR35 million net provision impact on PC and gross provision for the case of EUR75 million. All the other additions have been released and as I said before the discussions with the U.S. authorities are intensifying and my expectation is that we will have to reflect additional provisions in 2014, maybe in Q1 2015. The 10% target, as always since it is a ratio, we can work on both sides of the equation. A further run down of NCA should free up capacity for the Core Bank and in that sense the growth in the Core Bank should not work adversely on the ratio. And secondly we believe that we can obviously increase profitability both on the revenue side as well trying to manage the cost side as good as we can.
Johannes Thormann: Thank you.
Operator: The next comes from Andrew Coombs, Citi. Please go ahead with your question.
Andrew Coombs: Good morning. Two questions from me, one coming back to litigation and one on volume growth. Firstly, on litigation, sorry if I misunderstood you here, but perhaps you could clarify. On the Private Customer segment the charge that you booked there, the EUR35 million is that expected to be a recurring item or is that a one-off charge? And then the remaining charge that was booked in others, in consolidation EUR160 million, can you just clarify? Was that relating to the U.S. case or was that something else entirely? So that's the first question on litigation. Second question on volumes; is it possible to provide us with the actual outstanding loan volumes for the Group for private customers and for the Mittelstandsbank, please? And I’ll be interested to know when you talk about that loan growth, how much of that is utilization of existing credit lines and how much of that is actually new customers coming on board? Thank you.
Stephan Engels: On the legal cases, in PC this is a one-off net addition to legal provision. So it’s not a recurring item. The remainder of the provision for legal cases, obviously reflects different cases whereby we can all assume that the U.S. case is one of the bigger ones. Please understand that I am not going to disclose any specific numbers on these cases since as I mentioned we are in intense negotiations and discussions there. The EaD as per segment will as always be reflected in the risk report which will be published together with our Annual Report, somewhere towards the end of March. To give you the numbers on the EaD before PC is at EUR88 billion and MSB is at EUR134 billion. With respect to the loan growth, especially in MSB, it is clearly a mixture of regaining share of wallet for existing customers as well as onboarding new customers, so that it’s both of them there. And in PC especially as you have heard on the growing volumes that has also lot to do with our net new customer growth. But again we also do increased lending existing customers of course.
Andrew Coombs: Thank you.
Operator: The next question comes from Matteo Ramenghi, UBS. Please go ahead with your question.
Matteo Ramenghi: Yes good morning, and thank you for the presentation. Just a few clarifications if I may. First of all, of the EUR1.5 billion AQR impact which was highlighted back in October, if I understand well that consistently with your previous guidance has not really been taken into account in last year results. I am just asking because other banks have taken the full charge through the P&L. So it's interesting to see the different treatments of a similar exercise. Second on NII, will you disclose the NII excluding trading? Will it be in the annual report? Because still I understand the two go together, but it would be helpful in terms of disclosure to get the breakdown. And thirdly just a clarification on the litigations; so if I understand well there will be a potential restatement of the Q4 results if the findings from the latest negotiations will be different from what you have booked already. Thank you.
Stephan Engels: Starting with the AQR we have addressed all findings which we could comprehend from the AQR feedback, and incorporated them accordingly in our annual financial statement for 2014. And this obviously has been done on an economical and the risk adequate basis consistently applying the IFRS accounting rules. The issue is obviously that certain assumptions and valuation as per the year end 2013 progress in real life throughout 2014. So especially at our end part of the credit files have been sold restructured or repaid early, others have received additional loan loss provision. But again in general terms and that is I think the clear message economically we have covered all the risk that have been identified in AQR as far as possible under the IFRS things like the collective provisioning for example follow different rules. On the NII, you can see the NII disclosure, especially on PC, MSB and CEE and there we can say on the year-over-year comparison that all three operational market segments have grown their NII. As we have mentioned before the accounting treatment of NII and trading results in corporates and markets follows somewhat different rules so there you need to keep the two numbers obviously together. In litigation, as I have said before, negotiations have really intensified over the last days. So if and that’s what I have tried to relay as a message, if there is substantially new knowledge and I guess there will be, we’ll reflect this in the 2014 figures since they are still preliminary and will only be final towards the end of March, maybe even some effect still in Q1 ‘15.
Matteo Ramenghi: Thank you. That’s very clear.
Operator: The next question comes from Johan Ekblom, Bank of America. Please go ahead with your question.
Johan Ekblom: Thank you. Just one question and a follow-up if I may. So firstly in terms of the targeted revenue growth in the Core Bank we’re clearly entering unprecedented territory in terms of interest rate levels in Europe. From what I understand you are not paying much on deposit accounts today. So what can you do to offset this? I know there has been some charges on corporate customers already. But what’s your ability to pass on negative rates to retail clients or is there any other way you can combat these effects? And then just apologies for coming back to litigation, just a clarification that if I understand you right EUR480 million incremental net provisions in 2014 gives me something like EUR1.4 billion, EUR1.5 billion of overall reserves. And I guess your statement is that the significant part of that is related to these ongoing U.S. cases. And then is it fair to say that when you say intensified negotiations and potential for top ups now does that mean you expect this to be settled and maybe there is something in Q1, but then after that we're done?
Stephan Engels: Johan yes, thank you. Indeed looking at the environment as a bank that originally was planned to earn money with interest rates, it is a very difficult, and as you said, unprecedented territory that we are entering here. Nevertheless in our private customers division, private clients division, we can obviously model deposits to a certain extent, not endlessly but just an extent and as long as we can grow our loan book this proves to be a valid business model. If interest rates change further we obviously need to review the situation but for now we still believe that this will be a very good working model. On MSB the modeling capabilities are limited. Obviously there we negotiate with our customers and there already for a while in going into longer term deposits or as you know for certain bigger institutional clients also charge a certain fee. On your U.S. legal cases and again technically speaking we are not in litigation. EUR484 is the 2014 addition to legal provisions. That includes all cases that you find normally during the year in a bank. It’s obviously that the U.S. litigation and the mentioned German court ruling has been part of it. That would as you rightfully said add up then to roughly EUR1.4 billion of legal provisions at the year end of 2014. That obviously, as I’ve said before, then includes a number of cases, and please understand that I am not disclosing specific provisions for an unsettled legal case right now. Nevertheless the current level of speed in the negotiation from my point of view justify the assumption that we should see a settlement sooner rather than later and again whether it is completely Q4 and part of the Q1 remains to be seen but again sooner rather than later.
Johan Ekblom: Thank you.
Operator: The next question comes from Benjamin Goy, Deutsche Bank. Please go ahead with your question.
Benjamin Goy: Yes, good morning. Couple of questions, please. On other others and consolidation you have given us some guidance with Q1 results in 2014. Now with these intensifying headwinds from a market perspective should we assume that we will rather be at around EUR250 million quarterly pretax loss going forward? The second one would be on Corporates & Markets. So in particular CPM looks extraordinarily strong. Are you willing to quantify any one-off impacts if there are any? And on costs, I understand that you have this incremental headwind in particular from the IFRS contribution in 2015, while your varies cost initiatives probably take some time to have some effect - to have the full effect. Is it fair to say that in 2016 the cost cutting initiatives will have a more positive effect then in ‘16? And then maybe lastly on shipping your coverage is up but also the collateral values of your default portfolio are disproportionally down. So maybe you could comment on that, is that part of an annual revaluation, or what has driven this particular drop in collateral values? Thank you.
Stephan Engels: Yes, the others and consolidation guidance that we have given was originally on EUR150 million to EUR200 million on a quarterly basis from today’s point of view. This remains unchanged. CPM, as you can see, I think it’s a fair assumption to believe that a lot of the positive jump between Q3 and Q4 is due to this settling of these claims. Cost development as you rightfully said the bank levy in a year-over-year comparison will substantially influence the cost basis between ‘14 and ’15. As we have said just to keep in the cost and let’s be honest 6.9 and 7 is not that far apart, will already require substantial efforts to kind of compensate for this, not to mention regulatory environment and other things that are coming at us. Cost guidance for 2016 so far I think is a bit early to give it, but if nothing else happens it’s pretty clear that we will keep on working our cost, and I think we have a good track record there for the last years, and I wouldn’t think we are going to lose this one. And the last point was collateral in NCA, there if you compare it year-over-year there is obviously the portfolio transactions in there and other than that we obviously revalue our collaterals in a very regular process. So whatever market changes has happened there will be reflected there and then also the default volume in total obviously has gone down very substantially on a year-over-year comparison.
Benjamin Goy: Okay, understood. But in particular then on Q4 versus Q3 given that the collateral volumes are down, so is there a risk that we will remain at a rather high level in relative terms for ‘15 shipping provisions?
Stephan Engels: No, the current view on shipping provisions and that’s what I said, giving of basically renewing the guidance, the EUR3 billion for NCA in total until 2016 is the number that we still see, which means that we would expect shipping LPPs to go down in 2015.
Benjamin Goy: Okay, understood. Thank you.
Operator: The next question comes from Matthew Clark, Nomura. Please go ahead with your question.
Matthew Clark: Good morning. Two questions please. First one could you give us the figure for Group net interest income for the fourth quarter please? I can’t find that anywhere. And then secondly is on the fee income which has been pretty robust through the year. Could you just talk a bit about what’s driven that strength into the second half? Is that pricing related, is it activity related to specific initiatives? And how should we think about that going forward? Thank you.
Stephan Engels: On net interest income on group level if you compare year-over-year, the main difference here obviously NCA which…
Matthew Clark: On net interest income, I just want the figure, please. I couldn’t find the figure anywhere. Apologies if I missed it. So just in euro millions what the figure was.
Stephan Engels: But we don’t provide the figure sorry.
Matthew Clark: Any particularly reason why not?
Stephan Engels: You find in the fact and figures that we issue find the net interest income for PC, MSB, sorry for Group level…
Matthew Clark: I mean it’s a pretty basic figure.
Stephan Engels: Yes, that’s what I said. You will find it on our homepage.
Matthew Clark: Okay, thank you.
Stephan Engels: And the other question was commission income, how it developed through 2014. Basically in PC we have moved from a transactional kind of commission income in the previous year to a more recurring type of commission income. That is by moving a lot more of our assets into the managed accounts. In Mittelstandsbank we have seen good activity, especially relating to export and export trade finance as well as certain variations. Obviously during the year according to specialty foreign exchange cover that was a little bit more active in Q4.
Matthew Clark: Okay, thank you.
Operator: Last question comes from Britta Schmidt, Autonomous. Please go ahead with your question.
Britta Schmidt: Yeah hi there. I have got three quick questions please. The first one just to reconfirm. When you say European bank levy in the cost base am I right to assume that this includes the BRRD charge for ‘15 and the European deposit insurance contribution? And do you expect these charges to change once we move to the FRS regime in 2016? The second one is could you just give us a little bit more insight into what sort of percentage volume growth you expect for PBC and Mittelstand this year, both domestic and foreign? And then lastly just on the capital. Given that there is still pending litigation risk, not litigation but settlement risk and there might also be some FX headwinds, how comfortable are you with the capital ratio considering that it’s falling behind European peers? And do you expect to be compliant with the ECB requirements post any settlement with the U.S.?
Stephan Engels: The first question, the answer to the first part of your first question is, yes, it includes BRRD charges and for 2016 we will see. With respect to growth I think what you asked for is very detailed. Let’s put it in a more general context. The growth over the last two years has been pretty strong. I think that is not necessarily a good indicator especially for the MSB which has seen very strong growth rates for 2015. So I would assume there moderate growth rates. With respect to litigation, again without going in too much detail my clear understanding and expectation is that we will after a settlement still fulfill the ECB requirements. The next question is what kind of volatilities. I think that was more a Q1 question ‘15 rather than Q4 question ’14, will we see effects of the current increased volatility foreign exchange rates and other things in Q1? The answer is yes, and we will have to manage these and then we will see whether it does have an effect.
Britta Schmidt: And then just generally to follow-up any comment on the 9.5% right now versus the peer universe? Is that something that you look at, are you concerned about?
Stephan Engels: No, I am not concerned about the 9.5%. To the contrary I think it has shown that we have out of our own development, again 50 basis year-over-year, again the goal which is above 10% by the end of 2016 remains totally unchanged, and as I have said before we are comfortably above any ECB requirement right now.
Britta Schmidt: Okay, thanks a lot.
Operator: There are no further questions left.
Stephan Engels: Then, thank you very much and I am looking forward to see you all on the Q1 call. Thank you and good bye.